Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today's conference call to discuss LifeVantage's Fourth Quarter of Fiscal 2024 Results. At this time, all participants are in a listen-only mode. Following the formal remarks, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up. Hosting today's conference will be Reed Anderson with ICR. As a reminder, today's conference is being recorded. I would now like to turn the conference over to Mr. Anderson. Please go ahead, sir.
Reed Anderson: Thank you. Good afternoon, and welcome to LifeVantage Corporation's conference call to discuss results for the fourth quarter of fiscal 2024. On the call today from LifeVantage with prepared remarks are Steven Fife, President and Chief Executive Officer; and Carl Aure, Chief Financial Officer. By now, everyone should have access to the earnings release, which went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of LifeVantage's website at www.lifevantage.com. This call is being webcast, and a replay will be available on the company's website as well. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties including those identified in the Risk Factors section of LifeVantage's most recently filed Forms 10-K and 10-Q. Please note that during today's call, we will discuss non-GAAP financial measures, including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency into LifeVantage's ongoing results of operations, particularly when comparing underlying operating results from period-to-period. We included a reconciliation of these non-GAAP measures with today's release. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast, August 28, 2024. LifeVantage assumes no obligation to update any forward-looking projection that may be made in today's release or call. Now, I will turn the call over to Steven Fife, the President and Chief Executive Officer of LifeVantage.
Steve Fife: Thanks, Reed, and good afternoon, everyone. Thank you for joining us today. Our fourth quarter results again demonstrated strong profitability despite challenging macro conditions that have continued to create top line headwinds. Our adjusted EBITDA margin was 9.8%, a 90 basis point improvement versus a year ago, reflecting continued progress on initiatives to optimize performance and drive profitability. Adjusted EBITDA for the quarter was flat versus last year, while total revenues were down nearly 10%. Currency adjusted revenue was down 8%. For the full fiscal year, adjusted EBITDA of $17 million was up 45% versus fiscal '23. While revenues were down 6%. Currency adjusted revenue was down 5%. While overall fourth quarter revenue was softer than we anticipated, we were encouraged by results in our largest geographies. In the Americas region, which accounts for over a three quarters of our business, revenues were down 4% year-over-year, but increased sequentially 2.4% over fiscal Q3. In addition, productivity continued to improve as revenue per consultant rose over 2% compared to a year ago. We continue to focus on initiatives to drive consultant engagement, including our recent Global Activate 2024 Virtual Event held in July. This event was supported by consultant hosted watch parties and local gatherings in all of our markets around the world. It served as a platform to reaffirm our commitment to the direct selling industry, as well as how we have adapted our business into modern direct selling. During the event, we continue to emphasize core behaviors of the Rise ERA, enrolling, retaining and advancing highlighting impressive statistics supporting the positive impacts of these behaviors on consultant performance, including business growth, increased retention rates and recent leader rank advancements within the organization. Another highlight of the event was the announcement of the 2024 Incentive Trip Destination, an extraordinary eight day, seven night cruise to Alaska, consultants in our U.S., Canada, Mexico and European markets earn points towards this bucket list trip by following ERA behaviors. Activate 2024 also featured comprehensive sales training sessions led by LifeVantage top leaders. These sessions provided invaluable insights, strategies and tools to elevate consultants businesses, emphasizing Rise ERA behaviors and equipping consultants with actionable steps to achieve their goals. Events like Activate 2024 reinforce the importance of the community for direct sales companies and brands. Activation Nation has rallied around the vision for this company and is excited for what is to come. We continue to make huge strides in programs designed to sustain long-term growth. An example of those efforts is the recently completed optimization of our Rewards Circle loyalty program in the U.S., Australia and New Zealand markets. The update demonstrates our ongoing commitment to enhancing the experience for both our consultants and customers as well as our commitment to optimizing program design to meet consumer demands. In addition to providing greater value and optimize engagement for customers, Rewards Circles now also offer subscription benefits for consultants. On the consultant side, rewards includes free shipping on enrollment orders when a subscription is scheduled for the future, plus business building rewards every time a subscription ships. Customers benefit from the refresh with first subscription perk, including free shipping and a gift with Subscriptions when over a price threshold. Customers will continue to earn Reward Credits with every subscription that will now enjoy lower redemption thresholds. These simplifying enhancements to Rewards Circle were driven from customer retention data and come 16 months after launching the program as part of LV360. Recall that our LV360 transformation initiatives enable us to better meet the needs of consumers looking for a better approach to wellness via our incredible activation products as well as entrepreneurs looking to build and grow successful businesses. LV360 included the launch of the Evolve compensation plan, a modern compensation system that offers independent consultants, diverse income streams and opportunities to accelerate their path to success. Evolves caters to the dynamic needs of modern entrepreneurs and affiliates who are driven to share and sell products as well as those who also want to build robust collaborative teams. Innovation has been another key area of focus over the past several years, and we've been very pleased with the results, including the significant growth we've experienced with Liquid Collagen. A first of its kind product that not only replenishes loss collagen with 10 types of collagen peptides, but activates the body's own production of the collagen protein. That product continues to deliver for us, especially contributing to an increase in both customer and consultant ARPA. Finally, at Activate 2024, we announced the upcoming launch of a new product system, we will be introducing in October that expands the LifeVantage activation story into the rapidly growing category of weight loss. As with our other activating products, you take this new system to make something your body needs for health. Something that knows how to make, but as with other things in your body, age, genetics, poor diet and sedentary lifestyle leads to the levels of this essential hormone. Our innovative solution promises to disrupt the weight management space with two groundbreaking formulas designed to suppress food cravings and balance hunger hormones by activating GLP-1 production. We are incredibly excited about this launch and believe it will be a game changer for our consultants and their businesses. There is no comparable product or product system like it on the market, and we're delivering it in a way that stays true to our brand and approach to health. This new product system will be launched at our upcoming Market Connect event on October 11 and 12 in Kansas City. In summary, we are making meaningful progress on key initiatives especially around innovation, optimization and profitability, with adjusted EBITDA margins again around double-digits, despite a very challenging revenue environment. In addition, we continue to focus on driving shareholder value with share repurchases and dividend payments. Finally, before turning the call over to Carl, I want to share a few comments on the recent change we announced to our Board of Directors. After serving as a director for over five years, Erin Brockovich has resigned from the Board to make room for a new board member that the Board and Erin feel will bring exceptional value to the company. Erin has been an amazing partner and advocate for our brand, and we are thankful for her many years of dedicated service. In her place, we are pleased to welcome Raj Anbalagan to the LifeVantage Board. Raj has over 20 years of experience managing and executing large technology and e-commerce programs and he currently serves as the Chief Information and Product Transformation Officer at Caesars Entertainment. His experience in digital technologies will be invaluable in advancing our strategic growth initiatives. Now let me turn the call over to Carl Aure, our Chief Financial Officer to review our fourth quarter financial results. Carl?
Carl Aure: Thank you, Steve, and good afternoon, everyone. Let me walk you through our fourth quarter results. Please note that I will be discussing our non-GAAP adjusted results. You can refer to the GAAP to non-GAAP reconciliations in today's press release for additional details. Fourth quarter revenue was $48.9 million, down 9.8% on a year-over-year basis, and foreign currency negatively impacted revenue by $0.9 million. Excluding the negative impact of foreign currency fluctuations, fourth quarter revenue was down by $4.4 million or approximately 8% as compared to the prior year period. Revenue in the Americas region decreased 4.1% to $38.1 million in the quarter, primarily driven by a 7.8% decrease in total active accounts and partially offset by higher average revenue per account, resulting from changes in product mix and the continued penetration of our TrueScience Liquid Collagen product. Revenue in our Asia/Pacific and Europe region decreased 25.2% to $10.8 million in the quarter, primarily driven by a 17.1% decrease in total active accounts and the negative impact from foreign currency exchange rate fluctuations. Excluding the negative impact from foreign currency fluctuations, which are primarily attributable to Japan, fourth quarter revenue in our Asia/Pacific and Europe region was down 18.6% as compared to the prior year period. Gross margin was 79.5% for the fourth quarter compared to 79.6% in the prior year period. We are encouraged that we were able to maintain gross margin percentages despite the decrease in revenue. We continue to be focused on identifying cost savings opportunities across our supply chain to improve gross margins. Commissions and incentive expense in the fourth quarter decreased $1.5 million year-over-year. As a percentage of revenue, commissions and incentive expense was 44.9%, up 160 basis points versus a year ago levels. The increase was primarily due to the timing and magnitude of our various promotional and incentive programs. Non-GAAP adjusted SG&A expense was $13.7 million compared with $16.7 million in the prior year period and improved 280 basis points as a percentage of revenue to 28%. Adjusted non-GAAP operating income was $3.2 million compared with adjusted non-GAAP operating income of $3 million in the prior year period. Adjusted non-GAAP net income was $1.8 million or $0.14 per fully diluted share in the fourth quarter, compared to adjusted non-GAAP income of $2.2 million or $0.17 per fully diluted share in the prior year period. We recorded income tax expense of $1.4 million in the fourth quarter of 2024 compared to $600,000 in the prior year period. Excluding the $300,000 accrual related to uncertain tax positions, our effective tax rate for fiscal 2024 was 24.8%. Adjusted EBITDA for the fourth quarter was $4.8 million or 9.8% of revenues compared to $4.8 million and 8.9% in the same period a year ago. Please note that all of the adjustments from GAAP to non-GAAP that I discuss today are reconciled in our earnings press release issued this afternoon. Our financial position remains strong with $16.9 million of cash and no debt at the end of the fourth quarter. Capital expenditures totaled $0.3 million in the fourth quarter and $2.2 million for fiscal year 2024. In addition to maintaining a strong balance sheet, we continue to focus on our capital allocation priorities to drive value for stockholders. During the fourth quarter, we used approximately $1.8 million in cash to repurchase approximately 253,000 shares of common stock under our stock repurchase authorization. During fiscal 2024, we used approximately $6.4 million in cash to repurchase approximately 977,000 shares of common stock. As of June 30, 2024, there is still $20.4 million remaining under our stock repurchase authorization. We also announced a quarterly cash dividend of $0.04 per common share of stock or approximately $500,000 in the aggregate. This dividend will be paid on September 17, 2024 to stockholders of record as of September 9. Since the beginning of fiscal 2024, we have returned $13.4 million in total value to our stockholders through stock repurchases and dividends. Turning to our outlook for fiscal 2025. We anticipate our full year revenue will be in the range of $200 million to $210 million. We expect adjusted non-GAAP EBITDA in the range of $18 million to $21 million with adjusted non-GAAP earnings per share in the range of $0.70 to $0.80 per share. We are committed to continuing to improve our adjusted EBITDA margins, and we believe we are well on track to reach our long-term target of low double-digits. And with that, let me turn the call back over to the operator for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Doug Lane with Water Tower Research. Please proceed with your question.
Douglas Lane: Yes. Hi. Good afternoon, everybody. Just starting off on the outlook for fiscal 2025 here, Carl. You're coming off a couple of quarters sales pressures, challenges you mentioned, and you are looking for full year growth or flat to up mid-single digits for fiscal 2025. And I know, you don't give quarterly guidance, but can you give us a little help with cadence? Is this something where you expect a consistent improvement quarter-over-quarter in 2025 or is there going to be more of a back half load?
Carl Aure: Yeah. Thanks, Doug for the question. Yes. As we look forward to fiscal 2025, I mean, I do think that we expect a moderate improvement in each quarter in FY '25. Q1 likely will be a little bit lower in comparison to the other quarters, but we do expect the momentum to build towards the back half of the year, especially with -- we've got a lot that we're anticipating with in Q2 surrounded the product launch that we had, and the following momentum that we expect to see in Q3 and Q4 following.
Douglas Lane: Okay. That's helpful. I mean I did notice one number that stood out to me that is reversing sort of a longer-term trend was the total active accounts, which is the consultants and the customers that you released actually improved sequentially for the first time in years. And I just wondered what's really driving that number. I don't -- one point is not a trend, but it's just an interesting change in dynamic. And I just wondered if you could comment more about your sequential improvement in active accounts.
Steve Fife: Yeah, Doug. This is Steve. I'm glad you noticed that. We are pleased with that. And the reality is, as you know, we've been working on the transformation within the company for about 18 months now when we launched a refresh to our compensation plan, first in the U.S. and Japan and Australia. And then more recently this -- earlier this year in Canada, Mexico and Europe. And I really attribute that to both the attraction of new people now that, that plan is in place as well as our existing leaders working through and understanding how they can optimize the plan. So it's I think it's improved -- well, it has improved our retention. And what we are seeing now is growth from an enrollment standpoint. So this last quarter in Q4, we had both increased enrollments and improvement in retention, especially in the U.S. And as you said, one data point is not a trend, but I believe that we are -- we have bottomed out and are looking forward to growing now sequentially.
Douglas Lane: Have you had any -- has there been any impact from some of these other concepts changing their business model away from traditional direct selling more to affiliate marketing? Is there an opportunity there for LifeVantage to pick up some leadership.
Steve Fife: Yes, absolutely. It's one of the things that as we look back, we anticipated this trend occurring coming out of COVID there is more and more activity and noise about the affiliate model, and it was one of the key premises of when we changed our compensation plan to make it much more attractive for those individuals. But really, the beauty of our plan is that we kept all of the best attributes for those who want to build a very traditional consulting business. They're more kind of entrepreneurial minded and want to build teams. The plan is still very attractive to them as well as also providing an avenue for people that are more interested in just selling products. So rather than having to make really hard decisions around which path or which model we're going to follow, or add a new element to a plan and forcing those individuals to kind of make a decision at the beginning when they're joining LifeVantage. Our plan allows people to join however they want and then to move freely between just selling products and like I said, or building teams. And I think that the benefits of that we're just beginning to see.
Douglas Lane: Okay. That makes sense. And then for those of us that pay attention to what's going on at Medifast and WeightWatchers, certainly might raise an eyebrow about the decision to get into the weight management space with such turbulence in that space currently with the whole GLP-1 thing and how disruptive it's been to just about anybody that participates in weight management these days. So maybe if you could help build down a little bit more on the weight management, what's your offering? How does it differ from the competitors? And what's going to be your approach to that segment?
Steve Fife: Yeah. You're right. There is a lot of turbulence there, but we've adopted the approach that I think is, it's just grounded in LifeVantage's legacy, and that's been true from a science standpoint and most recently, over the last several years, as we've built on our activation story. If you think about Protandim Nrf2 back in the very beginning, it activates certain pathways in our bodies to create or to have our body create antioxidants that combat oxidative threats. And that was the foundation of LifeVantage. And since then, we've introduced the skin care line and other products, as you know, that all have activation at the core of their story. More recently collagen is a product that we introduced, I guess, two years ago or so. And it is a product that helps activate proteins that generate collagen. And as we look at other products in our path -- pipeline line and what was happening in the marketplace, we thought that there's no reason why we can't create an activation story to help those with -- that need focus on weight management. And so probably close to a year ago, we started the development of a product that we will be launching in the middle of October here, that activates the GLP-1 proteins. And the benefit of that, it's a two-part system, a couple of tablets and then a powder and the differentiation there is that 100% natural. It still has the benefits of reducing kind of the food noise, a hunger suppressant. And right now, we are through our in vitro testing and the results are extremely promising. We're about two-thirds of the way through human clinical testing and also those preliminary results are tracking to what we believe we can do. So it is entering a space that's noisy now, but we think we have an alternative to provide all of the benefits. And this isn't just -- it's to get out of these quick fat, the yo-yo diets and all of those types of things. This is intended to be not just a three month product where you lose the targeted amount of weight and then you go off of it. But it's something that you would continue to take to help manage your weight after the loss of weight that you are targeting, but it really helps the mental health, the stability of -- and confidence of individuals. And so we believe that what – we have a very differentiated product, one that is healthy and still on mark with what the trends are in the marketplace. And we’ll see in October, but we’re very optimistic about what lies ahead of us.
Douglas Lane: Okay. That’s good color. Thanks, Steve.
Operator: Thank you. There are no further questions at this time. I would like to hand the call back over to Steve Fife for any closing comments.
Steve Fife: Well, thank you, everyone, for joining us today. And as we conclude, I want to extend my appreciation to our committed employees, outstanding independent consultants, stockholders and faithful customers. The strength of our distinctive platform, coupled with the competitive edge of our business model that empowers individuals to establish businesses on their own terms is complemented by a dedicated leadership team, a diverse range of unique products, an engaged consultant community and a robust financial position. This collectively emphasizes our strategic positioning for the future, enabling us to pursue long-term goals while we consistently build substantial value for our stockholders. We look forward to updating you on our next call, which will be after the launch of our new innovative GLP-1 weight management system. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.